Operator: Good morning, ladies and gentlemen, and welcome to the Q3 2018 SP Plus Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Vance Johnston, Chief Financial Officer at SP Plus.
Vance Johnston: Thank you, Chris, and good morning, everyone. As Chris just said, I am Vance Johnston, Chief Financial Officer at SP Plus. Welcome to the conference call for the third quarter of 2018. I hope all of you had a chance to review our earnings announcement that was released last evening. We'll begin our call today with a brief overview by Marc Baumann, our President and Chief Executive Officer, then I'll discuss our financial performance in a little more detail. After that, we'll open up the call for a Q&A session. During the call, we'll make some remarks that will be considered forward-looking statements including statements as to our 2018 outlook and guidance and statements regarding the Company’s strategies, plans, intentions, future operations and expected financial performance. Actual results, performance and achievements could differ materially from those expressed and/or implied by these forward-looking statements due to a variety of risks, uncertainties or other factors, including those described in our earnings release issued yesterday, which is incorporated by reference for purposes of this call and is available on our SP Plus website. I would also like to refer you to the Risk Factor disclosures made in the Company's filings with the Securities and Exchange Commission. In addition, as we have in the past, our commentary will focus on adjusted results. A full reconciliation of all non-GAAP measures to their nearest GAAP measures was presented in the tables accompanying last night's earnings release, which is incorporated by reference for purposes of this call and is available on our SP Plus website. Finally, before we get started, I want to mention that this call is being broadcast live over the Internet and that a replay will be available on our SP Plus website for 30 days from now. With that, I'll turn the call over to Marc.
Marc Baumann: Okay, thanks, Vance, and good morning, everyone. As you saw in our earnings release we issued last night, although we continue to drive strong bottom-line results, our overall gross profit growth was lower than expected. One factor was that the third quarter of last year benefited from a large reduction in casualty loss reserve estimates relating to prior years, which did not re-occur in the third quarter of this year. As we said before, the timing and magnitude of changes in loss reserve estimates can impact year-over-year results and are difficult to accurately predict. The Airport Division continued to deliver solid year-over-year growth in the third quarter, as in payments and parking demand remained strong at key airport locations. In the Commercial Division, while we've successfully driven same-location gross profit growth of almost 3% in the third quarter, overall gross profit was down, compared to the third quarter of last year. The primary driver of the gross profit decline in the Commercial Division was the impact of some location terminations over the comparable time period that were not we were not able to fully offset with new business. We are very focused on driving new business and making progress on a number of key initiatives in this area, including the addition of business development resources in key markets and hiring new subject matter experts, particularly in the hospitality, event and healthcare verticals. We are also expanding our marketing and revenue management capabilities and recently launched the parking.com website and mobile App for finding, reserving, and purchasing parking. We are also developing technology applications like our proprietary client dashboard to demonstrate our value proposition and differentiate ourselves from our competitors. In addition, we are working to cultivate new and expand on existing national account relationships. Driving new business growth remains a key priority for us and we believe the actions we are taking will help make that happen. In other key metrics, our location retention for the twelve months ended September 30, 2018 was 90%, which is unchanged from the second quarter of 2018, but down from the 92% of the third quarter of last year. In 2018, we lost three municipal contracts representing almost the 100 operating locations, which affected both location retention and location counts. Finally, as you probably already know, we recently announced our intent to acquire Bags, a leading provider of baggage services to airline, airport, hospitality and other industries. We are working diligently to close the transaction at the end of this month and things are progressing as expected. We don't have any additional information to provide on the transaction at this time, but expect to provide more information shortly after the close of the transaction. We are very excited about the Bags acquisition and the opportunities it presents to cross-sell services and diversify our business. We believe it's a positive step in keeping with our focus on maintaining a balanced approach to capital allocation and driving shareholder value. With that, I'll turn the call over to Vance and he'll lead you through a more detailed discussion of our third quarter and year-to-date 2018 financial performance.
Vance Johnston: Thanks, Marc. I'd like to spend a few minutes reviewing our financial results in more detail. Third quarter 2018 adjusted gross profit decreased by $800,000 or 2% from the third quarter of 2017. The third quarter of the last year benefited from a large favorable adjustment in casualty loss reserve estimates related to prior years, which did not re-occur in the third quarter of this year. This was the primary driver of the decline in gross profit. Adjusted G&A for the third quarter of 2018 decreased by $1.4 million or 7% from the same period of last year. In addition to continued cost management discipline, our accruals for performance-based compensation and long-term incentive programs were lower in the third quarter of this year. Resulting adjusted EBITDA for the third quarter of 2018 increased $400,000 or 2% over the same period of last year for the reasons I just discussed, affecting adjusted gross profit and adjusted G&A. Adjusted EPS was $0.64 for the third quarter of 2018, an increase of $0.14 over the same period of 2017. In addition to higher adjusted EBITDA, a lower effective tax rate resulting from the 2017 Tax Reform Act and lower depreciation and amortization expense contributed to the 28% year-over-year increase in adjusted EPS. Touching briefly on the year-to-date results. Adjusted gross profit for the nine months of 2018 increased $100,000 over the same period of 2017. Lower overall healthcare program cost and strong results from the Airport Division were largely offset by mixed performance in the Commercial Division including the early termination of a long-term lease contract that resulted in a $1.7 million non-cash write-off of an acquired lease contract write in the first quarter of 2018. Adjusted G&A for the nine months of 2018 decreased by $2.2 million or 4% from the same period of 2017, primarily due to a $1.7 million vendor cost recovery and continued cost discipline and cost management. Changes in the accrual under our performance-based compensation and long-term incentive programs were not a significant factor in the year-to-date comparison. Resulting adjusted EBITDA for the nine months of 2018 increased $2.6 million or 4% over the same period of 2017. Adjusted EPS for the first nine months of 2018 was $1.76, an increase of $0.46 per share or 35%, as compared to the same period of 2017. In addition to adjusted EBITDA growth and a lower effective tax rate resulting from the 2017 Tax Reform Act, lower G&A expenses, primarily due to the burn-off of certain acquisition-related intangible assets in 2017 and lower interest expense due to debt repayments contributed to the increase in adjusted EPS. The company generated free cash flow of $29.1 million during the first nine months of 2018, which includes cash expenditures of $1.4 million related to the activity supporting the acquisitions of Bags and another acquisition we evaluated earlier in the year. As you saw in last night's release, we are reaffirming our guidance on adjusted net income, adjusted EPS and adjusted EBITDA, which all exclude acquisition-related costs, as well as certain other non-recurring items. However, due to the unplanned acquisition-related costs, those already incurred and amounts expected to be incurred in the fourth quarter, we do not expect to achieve our previously provided guidance on an as-reported basis for these measures. Since we do not adjust free cash flow for acquisition-related expenses and other non-routine items, we now expect net cash from operating activities to be in the range of $65 million to $75 million and free cash flow to be in the range of $50 million to $60 million, each measure is approximately $10 million to $15 million lower than the previously provided guidance. While the primary driver of the reduced outlook is unplanned acquisition-related cost, the softer-than-expected growth in our Commercial Division and the related free cash flow impact was also taken into consideration. While not expected to be material, none of our expectations for full year 2018 contemplate the results of Bags in the post-acquisition period. This concludes our formal comments. I'll turn it back - the call back over to Chris to begin the Q&A.
Operator: [Operator Instructions] Your first question comes from Daniel Moore of CJS Securities. Your line is open.
Daniel Moore: Marc, Vance, thanks for taking the questions.
Vance Johnston: Good morning .
Marc Baumann: Hey, good morning, Dan.
Daniel Moore: Vance, I think you said the primary driver of the delta in gross profit was casualty loss reserve. I don't know if you'd be willing to quantify, but which we think of that as kind of more than half of the change year-over-year?
Vance Johnston: So Dan, we typically – we haven't quantified that and we didn't kind of quantify the impact of that in the third quarter of 2017. But given the fact that when we list this as a most, as the first item in terms of magnitude, that can give you some sense as to kind of how we are thinking about it in terms of the degree of impact it has in driving the decline in gross profit quarter-over-quarter.
Daniel Moore: Excellent, helpful. And then, in terms of commercial...
Vance Johnston: I think, hey, Dan, I think one other thing to add to that too is, is that if you were to not consider the impact of that, we still would've had some growth in gross profit quarter-over-quarter.
Daniel Moore: That's helpful, okay, excellent. And then, in terms of commercial, did you experience – is it more of an acceleration in contract terminations in the quarter? Or was attrition kind of steady and you just didn't add as many new contracts? I know it's nuanced, but just trying to get some sense there.
Marc Baumann: Yes, I think we've had fairly steady, kind of performance over the year on both new and lost. And a bit like 2017, we are focusing a lot of efforts on trying to drive and accelerate the acquisition of new locations. We have lost some locations along the way. One of the things that affected us in 2018, as we mentioned was, we did lose the three municipal contracts that had collectively about a 100 locations. So if you look – take that out of the equation, our sort of new loss experience in 2017 and 2018 are very similar.
Daniel Moore: Very helpful, and then, Marc, along those lines, any generalities you can describe in terms of those muni contracts, whether it's purely price, service. Is there a more aggressive bidder in the market? Any color you can give us would be helpful.
Marc Baumann: Sure. I mean, I think in all three cases, these were long, long legacy contracts and as frequently happens when you've been somewhere a long, long time, particularly if you're providing service to government, eventually these things do come out for bids, public bidding. And of course, people who are trying to bid against us do look at our current deal. They get the information. It's publicly available. And if they want to take it away, they do try to come in with a lower priced option. We are obviously well aware of that and we do it ourselves at times to acquire new deals and unfortunately, somebody came in, in all three cases and just underbid us on the current deal. And we weren't able to hold onto it. I don't – there were no service issues. In fact, it's kind of interesting, We - I won't disclose who it is, but the mayor of one of the cities where we lost the contract had an experience at one of our other properties in Detroit, Michigan over the weekend, he was in town there and he was just unbelievably blown away by the quality of the job that our staff did in solving a personal problem for him relating to his cell phone. And just one of the things we did is reach out to him and say, well, we are so glad that you are delighted and surprised by how great we are and the job we did in helping you this past weekend. We’d love to talk to you again about our relationship in your city. So, I think, we try to do a great job for all of our clients. If we are not successful in retaining something, we always leave on great terms and try to look for opportunities to come back. So hopefully, we'll have that opportunity in the future in that city.
Daniel Moore: Got it, helpful. And then, lastly for me, the Bags acquisition, obviously not saying – didn't say much in the release. But I still expect to close between now and November and comfortable with alt financing and kind of all the other ducks in a row, so to speak.
Marc Baumann: Yes, everything is progressing normally. I think we – I think just to correct the right expectation. Our expectation is really that we are going to close at the end of November. I think it's a better cut-off for everything, if we can do it that way. So, I wouldn't create the expectation we might close any day now. But the things that have to be done, whether it's finishing off the financing or other elements of closing conditions, are all moving along really well and we don't see any reason that we won't be able to get this thing closed at the end of the month.
Daniel Moore: Got it. All right. We’ll look forward to hearing more about that. Appreciated.
Marc Baumann: Yes, thank you.
Operator: Your next question comes from Tim Mulrooney of William Blair. Your line is open.
Tim Mulrooney: Yes, good morning guys. Thanks for taking my question.
Marc Baumann: Good morning, Tim.
Vance Johnston: Good morning, Tim.
Tim Mulrooney: Good morning. So, you had solid growth in your commercial division, I think 3% gross profit, same-location growth that is. Was this driven by anything in particular? Is the New York City market improving at all or is ridesharing having less of an impact on your hospitality business? Any color on that division?
Marc Baumann: Yes, I mean, there are so many things that go on, of course, as you know, at individual locations. So, what I would say, on a broad base, is that, we have a very intense focus on a number of things. One is, obviously, run the operations that we have, as well as possible and obviously, in the case of lease locations, one of the ways that we can drive gross profit growth is to be better manage our operations, to look for ways to take cost out of the operations and focus on opportunities to raise prices. So, all of those things are sort of ongoing at our lease locations. And then, with regard to management clients, we have a laser-like focus on trying to bring additional services to those clients. And we've had a number of situations this year where we started out with a relationship. It might have been a consulting relationship to get in the door with that client and then they – that converted into an opportunity to actually create parking operations or ground transit operations for those clients. So, I think, it's that strategy that we've always had. Once we get a client relationship, whether it's a management client or a lease location, we try to bring more services to bear. We obviously are spending a lot of time and effort on our digital strategy. With our recent launch of parking.com, we're working hard to make sure that all the appropriate locations that should be selling online are selling online and that we are enabling consumers to find us either for transient transactions or monthly parking transactions. So, we've done a lot of other things with fine tuning our search engine optimization efforts and we've brought other technology tools to play to help us with our marketing efforts, as we've expanded our marketing and revenue and growth teams over the past year. So I think, all of those things contribute. It's – there are so many variables at individual locations, as I indicated, Tim, it's hard for me to generalize. But I am really pleased to see this, because it's the second quarter in a row where we've had very nice same-location growth in the commercial group.
Timothy Mulrooney: Yes, now, that's helpful, Marc. I was trying to see if there are any broader trends for you to highlight. But I get it sounds like it's a lot of little things. So that's helpful. Staying along those lines, you highlighted in your prepared remarks that you are adding new business development resources. Is this part of your vertical alignment strategy? Are you adding business development resources here in particular verticals and are you still – is it still primarily going after the hospitality opportunity? Or are you also adding to go after other verticals in municipal and healthcare, that kind of thing?
Marc Baumann: Yes, well, I think it's yes to all of those things. I mean, clearly, our business model and our strategy for growing generally and gain new business is to expect that the people that we have on the ground in the various geographies are doing a great job operating their businesses, maintaining client relationships and are also out cultivating new opportunities. And so, that's been the way that we've done business for many years and we think that's the most effective strategy. That being said, we have identified geographic markets where we think there is so much opportunity for us, either across all the verticals or in selected verticals, that we are putting business development resources there to be dedicated to opening doors and cultivating relationships. And then, we did touch on in the prepared remarks, some subject matter experts, where we feel in some of these longer lead time opportunities, whether it's in large venue and event management, consulting, which can turn into parking contracts and ground transportation contracts or the healthcare field where they have specialized requirements and where KPIs and patient service standards are an important part of how healthcare management look at their operations. And we need some people that can come in and speak that language and help cultivate opportunities for us for either value or parking management or ground transportation services and the same thing, obviously, in the hospitality market and for those who spend time thinking about hospitality, you have local management on the ground, usually a General Manager of a property. You have the brand and there is a whole brand relationship that needs to be cultivated and developed. And then, you have management companies that operate hotels on behalf of ownership groups. And in order for us to be effective in growing in hospitality, we definitely feel that we need to cultivate and expand our relationships at all those levels. We have many of those now, but by bringing additional resources into that area, we feel that we can accelerate some of our activities along those lines.
Timothy Mulrooney: Okay. Thanks – thanks for all that color Marc. That’s great. Thank you. One more, Vance, once the Bags acquisition closes, are you guys going to provide us with more financial information related to the deal and the company itself?
Vance Johnston: Yes, hi, Tim. Yes, no, the plan is, once it closes, as you alluded to, shortly after that point, we'll be providing some more information on financial information as well as more information on the company and then, in addition to that, there is some required disclosures related to their financial information and pro forma financial information that we will be providing as well, shortly thereafter the close too. So, you should expect both of those.
Timothy Mulrooney: Great.
Marc Baumann: And just maybe I can chime in for a second too, as well, Tim. Obviously, we are not doing it today, but we are very eager to explain to investors and analysts some of the great cross-selling opportunities that really we've identified and that exist by bringing Bags into our organization. And we're starting to think long and hard about how to make that happen as quickly as possible. And once we get the deal closed, we are going to be looking forward to the opportunity to talk more about our plans along those lines as well.
Timothy Mulrooney: All right. Look forward to hearing more about that, gentlemen. Thank you for your time this morning.
Marc Baumann: Thanks, Tim.
Vance Johnston: Thanks, Tim.
Operator: [Operator Instructions] Your next question comes from Kevin Steinke of Barrington Research. Your line is open.
Kevin Steinke: Good morning.
Marc Baumann: Good morning, Kevin.
Kevin Steinke: So, you mentioned just there, Marc, the cross-selling opportunities that you are excited about from the Bags acquisition and just trying to think through some of those cross-selling opportunities a bit more. On the call, announcing the deal, you were particularly excited about the remote check-in service. And I am still trying to get a bit of a handle on who the customer set is for that service? I mean, to me, it sounds like you could potentially sell to hotels, airports, and airlines. I mean, is that the case or is there one of those customer sets that's more likely to buy it than others?
Marc Baumann : I think you – I think the one you didn't mention is really the airport authorities themselves, because one of the things that airport planners are thinking about is, how do I reduce congestion in the lobby of the airport? How do I speed up screening times and get people not only out of lines waiting to be screened, but also into the airport where they can spend money on food, on beverage, on shopping and other things that the customer at the airport might want to do to traveler. So, I think everybody is looking for opportunities to make the travel experience simpler, not as aggravating and faster and more efficient. So, as they think about the future, remote check-in offers is an opportunity to get the checked luggage out of the airport terminal lobby area and make those screening lines a lot lower. And so, an example, and I won't mention who it is, but, they happen to be starting a new contract today at a major airport where they are going to be going to the surface parking lots and taking the luggage from people that are parking in a surface lot and taking it and checking it right there. So that the person who is parking in that remote lot and maybe he is going to ride on a bus or a train to get into the terminal, is not having to schlep their luggage along with. So, that's an opportunity that an airport authority has embraced, because it's right along the lines of what I've just described and there will be lots of other opportunities for them to do that with our support. In this particular case, they just – this is what they are doing themselves to develop their own business and of course, the nice thing about these services is that, we have 70 airports and so, we have lots of clients that we could introduce them to. At the same time, there is lots of airports that are run by our competitors for parking management and I think their service is so great. It's independent, really of who the parking operator is. So, I think that's just an example of a cross-selling opportunity to reduce congestion and provide real value to an airport authority as well.
Kevin Steinke: Okay, good. That's helpful. So, as you kind of expand beyond kind of the hotel and airline customer set to serve airports as airport authorities as well?
Marc Baumann: Yes, I mean, you mentioned the other customer base, and those are certainly opportunities too. And they have many customers in that space. Some of whom are people that we do business with now at SP Plus. Some are opportunities for us to do business. Part of the cross-selling is, what is their client base and does their client base need parking management, ground transportation, and related services that we provide and maybe are being provided to their client base by somebody else. And so, the cross-selling and the relationship synergy, if you will, can go both directions. That's our expectation.
Kevin Steinke: Okay, thanks. That's helpful. And so for the remote check-in, is that – do you get paid kind of on a per-use basis, when someone actually uses its service or is there some sort of – is this recurring revenue contract in place exclusive of actually using it?
Vance Johnston: Yes, hi. Kevin, it's Vance. The Bags’ model as it relates to remote airline check-in actually varies quite a bit across customers. So, sometimes, it can be a sponsored model whereby it is an airport authority, another sponsor that is effectively where the contract is between kind of Bags and that kind of entity, if you will. And they could be paying them on a - as you allude to, on a per-bag basis for example. And then sometimes, it's also the contract is essentially with the end-consumer. It's a consumer-based model. So it can go either way, a sponsored or a consumer-based model kind of the individual economic units, if you will, can vary a little bit, as well.
Kevin Steinke: Okay. So, I just – I am trying to just bridge the change in the free cash flow guidance and make sure I have that correct. About a $10 million to $15 million change in the guidance, as you said, I believe you said it was mostly or maybe the majority was due to the acquisition expenses. I believe you said $1.4 million of acquisition expenses thus far included in free cash flow through the first nine months. So does that imply that we should expect a fairly significant ramp up in acquisition-related expenses in the fourth quarter around the closing of the Bags deal?
Vance Johnston: Yes, as we – it’s correct, so, as we enter into the fourth quarter and we expect to consummate that transaction, you'll see that we are going to have – we are going to be – we are going to have more cost that we are going to expend to close the transaction. So that is the expectation.
Kevin Steinke: Okay. Lastly, the G&A level came down sequentially...
Vance Johnston: And Kevin, Kevin.
Kevin Steinke: Yes.
Vance Johnston : Kevin, just to clarify a little bit for – so, at this point in time, we would expect approximately another $4 million or so in the fourth quarter related to this transaction.
Kevin Steinke: Okay, right. Okay, got it. Thank you. And yes, so, on the G&A expense levels, obviously, down sequentially on part to this performance-based accrual adjustments. Is that kind of a one-time benefit or as we move into the fourth quarter, I know you don't give specific guidance. But, I guess, accruals would kind of just depend on how your performance came in, in the fourth quarter. So, I don't know if we should expect G&A to kind of normalize than what it was in the past couple of quarters before this one? Or any color on that would be helpful.
Vance Johnston: Yes, Kevin, this is Vance again. So, as you alluded to, so how it works is, is that, we adjust our accruals for both short-term incentive compensation, as well as long-term compensation effectively for how we are performing and how we expect to perform in the case of short-term incentive performance, kind of annual bonus accruals, what we do is at any point in time. So now the third quarter of 2018, we look at our actuals relative to kind of what we expected when we set those targets and then, also the forecast for the fourth quarter and then we combine that information to think about what we think those accruals should be. And so, we don't necessarily think there will be any significant valuation – variation in the fourth quarter of 2018 in addition to kind of how we thought about it now. But until we get there, we don't really – we don't know for sure, and what I would say is, is that, in the third quarter of 2018, for example, we did have some pretty significant variations, relatively speaking, that's impacting our G&A for the whole quarter. So I think the way you are thinking about it, which is, it may - given that we are having some reductions in G&A due to these reduced bonus accruals in the third quarter of 2018, you may not want to just kind of take that and straight-line that forward as kind of the ongoing G&A trend.
Kevin Steinke: Okay, Got it. That’s helpful. Thanks for taking the questions.
Vance Johnston : Thanks, Kevin.
Marc Baumann: Thanks, Kevin.
Operator: Your next question comes from Marc Riddick of Sidoti. Your line is open.
Marc Riddick: Hi, good morning.
Marc Baumann: Good morning, Marc.
Marc Riddick: Wanted to touch on national accounts and maybe, if you could get give a bit of an update as to sort of where we are on, as far as the penetration of national accounts and how – if any of that ends up being a potential overlap with the cross-selling opportunities that you are looking at with the Bags acquisition?
Marc Baumann: Sure. Thanks. Thanks for that question. I am really glad you asked about that because I failed to bring that out when I was talking about some of the other initiatives for our new business development. We actually put in place a program to attack national account relationships. One of the challenges we have is that, we operate geographically, and so the people of that have responsibilities for given cities or regions of the country tend to focus on clients either existing or prospective clients that are in those spaces. And we have not done as good a job as we could have in identifying clients that exists in one city or region that also have operations in other cities and regions. And while we've had some legacy national account relationships that cut across geography, there were a lot of others that we had not fully developed and needed a new focus on doing that and so, we've not only created that focus and identified, I think, about 25 organizations where they have a national footprint, but where we were only doing business with them at the local level. And we have a strategy for cultivating relationships with them and have added some additional human resources in our national accounts team to be able to go do that. And I think a lot of it is really getting the people that we have the relationship with at a local or regional level to help us get to the next level in their organization. How do we get to the individuals who are responsible for that national footprint? And we are having some real success in getting those doors open and starting to meet with them and it gives us a great opportunity to explain the advantages of working with us on a national basis. One of the advantages of course is that we can have a national contract in place and so, the terms and conditions are all worked out and we don't have to be doing lots of negotiating at a location-by-location level. That makes it easier for us to take over an operation more rapidly and to get up and operating with a minimum amount of disruption, inconvenience, whatever. The other thing is that it enables us to speak with them about our client dashboards. One of the areas that we've invested in significantly over the past year or two is to really further develop the use of dashboards that we can put in the hands of clients that present to them information that comes out of the parking equipment, information that we have from the payroll systems and other purchasing systems that we are using to manage the business for a client. And of course, when we present that dashboard to them and we can offer these dashboards to them at a cost below, sort of commercially available alternative dashboards that they might go buy themselves. We can say, look, if we are the operator, all of your facilities can be drilled down into individually. They can be rolled up and aggregated by city, by region or nationally and of course, if we are not operating, you only get a partial view. And I think that's led to quite a few aha moments by people of more senior levels in these client organizations who are saying, now I see some real advantage in working with SP Plus on a broader basis. But that requires some lead time. There is cultivation of relationships. There is explanation of those capabilities and there is getting to know those people at these new levels and getting them to enable us to meet people that have responsibilities in other parts of the country that we can now introduce ourselves to if they don't know us. So, that's all underway and that's going very, very well. And while we didn't have anything to announce in Q3, we are starting to see some fruit being borne from those efforts and I think you'll hear us talk about Q4 and at least one situation where we've actually these efforts are resulting in us getting a nice group of additional locations from an existing client portfolio that we're now expanding into a national relationship and I think you'll see more of that, as we look forward into 2019.
Marc Riddick: Okay, great, that's very helpful and one other thing it's a little bit of the beaten path. But I was kind of thinking about, Las Vegas and I remember, when you guys went into the market there and with MGM and had with that opportunity, I was wondering if you could sort of give us an update as to how you feel about that market? What you are seeing there? I know you guys have the arena, which seems to be very busy. I was wondering if you could sort of give an update on the overall market and then, if there is any involvement with the football stadium, as well? Thanks.
Marc Baumann: Sure, be glad to and the timing is perfect as I was just in Las Vegas last week for the National Parking Association Annual Convention. The market is a great market. It's a growing opportunity for us, because I think the good news is, since MGM took the lead and brought paid parking to Las Vegas, other casino groups and hospitality groups have followed. And I think it's not like they all make a decision on the next day and they go forward, but most of the big casino groups there have introduced paid parking and I think that's terrific. I think there also, everyone is finding out that when someone has a major convention and someone or a big event at T-Mobile, what happens is that, if anybody has free parking, that's where the cars go. And in fact, a lot of people, a lot of locals from Las Vegas were parking for free rather than parking at the airport when they travel because if you you've been to Vegas, you know the airport is in very close proximity to where all the action is in Las Vegas. And so, I think there is a – there becomes an increasing argument as more and more casinos go to paid parking that this makes a lot of sense and the holdouts, if you will, are starting to reconsider their initial or maybe reluctance to do it. We are going to be announcing fairly soon some additional hospitality casinos that we have signed up to provide parking management services to. And so, I think we are starting to see the results of our business development efforts and the conversations we've been having with all the players out there about opportunities for growth. So, I think, that makes a lot of sense and our strategy has always been to get a foothold there and then expand beyond our initial base and we are looking forward to doing that. This new stadium is underway now. And given the fact that we provide parking and ground transportation management services for the Super Bowl every year and I think we have something around maybe 30 professional sports teams that we provide parking management and other services for around the country, it’s a - it would be natural for us to provide services to the Oakland – well it will be the Las Vegas team, formerly the Oakland team. And we are in conversations with them now, as you might expect and we are hopeful and optimistic that we would have the opportunity to serve them and provide services once football gets underway in Las Vegas. I think, the one challenge that will exist there is that, where the stadium is being built. There is not a lot of natural parking opportunities that are going to be made available. So some of those same dynamics that I was talking about a few minutes ago are going to come into play. So, anybody who has property that's near the stadium is not going to want to offer free parking there, because that's where the football fans will be parking. So, I think again, there is an opportunity even for people that aren't large casinos to introduce paid parking even if it's only on an event basis and we're already in conversations with all the people around that area to try to cultivate those type of relationships.
Marc Riddick: Okay. That’s great. It’s very helpful. Thank you very much.
Marc Baumann: You are welcome, Marc.
Vance Johnston : Thanks, Marc.
Operator: I am showing no further questions at this time. I would now like to return the conference back to Mr. Marc Baumann.
Marc Baumann: Okay, thank you, Chris, and I'll be brief. I just wanted to thank all of you for joining us today, listening to what we have to say about our business and our prospects for moving forward and growing in 2019 and beyond and we look forward to speaking with you next time. Thanks a lot. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may now disconnect.